Operator: Ladies and gentlemen, thank you for standing by, and welcome to the YRCW third quarter earnings call. [Operator Instructions] Thank you. I would like to turn the call over to Stephanie Fisher, Vice President and Controller. You may begin.
Stephanie D. Fisher: Thank you. Good afternoon, everyone, and thank you for joining us for the YRC Worldwide Third Quarter 2014 Earnings Call. James Welch, Chief Executive Officer of YRC Worldwide; Jamie Pierson, CFO of YRC Worldwide; and Darren Hawkins, President of YRC Freight, will provide comments this afternoon. James, Jamie and Darren will be available to answer questions following our comments. Now for our disclaimers. During this call, we may make some forward-looking statements within the meaning of federal securities laws. These forward-looking statements and all other statements that might be made on this call, which are not historical facts, are subject to uncertainty and a number of risks. And thus, actual results may differ materially. These include statements regarding the company's expectations, assumptions of future events and intentions on strategies regarding the future. The format of this call does not allow us to fully discuss all of those risk factors. For a full discussion of the risk factors that could cause the results to differ, please refer to this afternoon's earnings release and our most recent SEC filings, including our Forms 10-K and 10-Q. Additionally, please see today's release for reconciliation of operating income, loss to adjusted EBITDA and the reconciliation of adjusted EBITDA to net cash flow from operating activities and adjusted free cash flow deficit. During this call, we may refer to the non-GAAP measure of adjusted EBITDA simply as EBITDA. I'll now turn the call over to James to provide comments on our third quarter results.
James L. Welch: Thank you, Stephanie. We appreciate the opportunity to talk to all of you about our third quarter results. I'll make a few comments before turning the call over to Jamie for the financial update, and then Darren will provide some further remarks about the performance of YRC Freight. To begin with, I'm pleased with the overall progress that the YRCW operating companies made throughout the third quarter. The number one priority at each of our 4 operating companies for the quarter was pricing and volume improvement, which drove profitability. Certainly, the freight environment is healthy and our sales force has done a good job of selling our value proposition to obtain higher pricing and revenue per shipment, and it's encouraging to see that the yield trends continue to improve across the operating companies on October as well. In YRC Freight, they were able to improve sequentially throughout the third quarter in several important areas, including yield. Yield improved every month in the quarter and we continued to see that trend on October. Revenue per shipment was up 3.5% in the quarter. And as you saw in the press release, revenue per hundredweight improved to 3.3%. Proactively managing the mix with business in the YRC Freight network has been has a challenge. And after some starts and stops over the past couple of years, they were able to make some definitive progress during the quarter. Their network operation and service was consistent, which decreased local terminal cartage cost for the quarter as well. So as a result, the operating ratio for YRC Freight improved every month of the third quarter, with September delivering one of the best operating ratios since mid-2008. At the Regional carriers, Holland, Reddaway and New Penn continues to turn in solid performances. The Regional carriers provided outstanding service with excellent quality during the quarter. They were also focused on improving their yield, as their revenue per shipment was up 3.6%, with revenue per hundredweight up 2.1%. Their pricing results and trends continue to be favorable in October as well. We believe our Regional carriers are uniquely positioned in the market areas they serve, as the customers have come to depend on the value that Holland, Reddaway and New Penn deliver and are willing to adjust prices in order to utilize these carriers. In summary, the YRCW operating companies remain focused on delivering a fair value proposition in the marketplace that allows us to be fairly compensated for the services that we provide. You will see us continue to work on the mix of our business in a very diligent way to make certain that we can favorably adjust our prices moving forward. And as I have stated before, while we want grow our business over time, our priority and focus is growing the right freight at the right price. Additionally, we will continue to invest in the business and bring new equipment online. Over the next 6 months, we expect to replace over 600 tractors and 2,000 trailers within the fleet as a part of this investment. In addition, we are in the process of rolling out the dimensioners we have discussed previously, and we're very satisfied with the early returns from this investment. As we said last quarter, we are also upgrading technology for our linehaul planning system or -- at YRC Freight. We also have been analyzing end cap safety technologies, and we'll soon rollout a pilot program so that we can take another important step toward improving safety. All of our operating companies are investing more in training, especially with drivers, and we now have more driver recruiters than we've ever had before. We fully expect to continue improving our operating results as we move forward, and I believe that we're in a better place than any other time in our recent history. With that, I'll turn the call over to Jamie.
James G. Pierson: Thanks, James, and good afternoon, everyone. For the third quarter of 2014, we reported revenue of $1.3 billion, an increase of $70 million over 3Q '13 from top line growth at both YRC Freight and the Regional carriers. The increase in revenue was due to the tonnage in pricing increases at both segments, which allowed us to report consolidated operating income of $26.7 million, a $20.9 million increase when compared to 3Q '13, and adjusted EBITDA of $81.6 million, a $19.7 million increase for the quarter. For the year-over-year third quarter stats, YRC Freight's tonnage per day was up 1.2%, and Regional tonnage per day was up 3.5%. YRC Freight's revenue per shipment was up 3.5%, which included an increase of 3.3% in revenue per hundredweight, and an increase in its weight per shipment of 0.2%. The Regional carriers, on the other hand, increased their revenue per shipment by 3.6%, their weight per shipment increased by 1.5% and their revenue per hundredweight increased by 2.1%. On a segment basis, for the third quarter of 2014, YRC Freight reported operating income of $8.8 million, an $18.5 million improvement over the prior year, which translates into an operating ratio of 99, an improvement of 220 basis points over last year's comparable quarter. Further, Freight reported adjusted EBITDA of $38 million, a $13.8 million increase from the third quarter of 2013, primarily due to increases in revenue per hundredweight, somewhat offset by increases in slip [ph], over-the-road purchase transportation and cargo claims. Our Regional segment reported operating income of $24.4 million, an increase of $4.4 million over 3Q '13, and an operating ratio of 94.9. On an adjusted EBITDA basis, the segment reported $43.2 million, which was an increase of $4.9 million over the third quarter of last year. Not too dissimilar from Freight, the increase in driven by additional shipments, as well as improved pricing due to tight capacity and a strong disciplined pricing environment and was partially offset by increases in slip [ph], local terminal cartage and vehicle rents as we continue to enter into operating leases for our new tractors and trailers. In terms of liquidity, at the end of third quarter of 2014, our cash and cash equivalents and amounts able to be drawn under our ABL facility remain relatively consistent at $213 million, up slightly from the $209 million at the end of our second quarter. In closing, I would like to say a few things. One, we continued and will continue investing in technology as we're seeing the biggest bang for our buck in this area. Two, despite an increase in short-term rental expense, the Regional segment still posted a respectable 9% EBITDA margin for the quarter, while balancing tonnage and pricing growth. Three, and just as a reminder, the Regional segment will have four less working days in the fourth quarter of 2014 versus the fourth quarter of 2013. And fourth, and finally, I am pleased the rate environment and our company's ability to take advantage of it, and believe there is still room to improve from even our current levels. I would also like to say that YRC Freight operated much better this quarter, both on a year-over-year and a sequential basis. So I will let Darren walk you through some of the things they did this quarter and some of the things they expect to do going forward. Darren?
Darren D. Hawkins: Thanks, and good afternoon, everyone. I'm pleased to see the network investments from earlier this year in additional drivers, terminal capacity, sales resources and operational initiatives drive improved results in Q3. YRC Freight results gained momentum as the quarter progressed from an operating and yield standpoint. The industry is still fairly balanced from a supply and demand perspective as our negotiations on contract renewals are producing solid results. We have completed over 80% of those renewals for the calendar year and expect that trend to remain consistent. As the results show, increased pricing power and steady volume combined to produce better performance at YRC Freight. From an operational standpoint, the 3 terminals we converted to distribution centers in Q3 are all running smoothly and are making a positive contribution to our service and capacity commitments to our customers. Recruiting and hiring efforts were successful throughout the quarter and set the stage for significant local terminal cartage reduction that we realized in August and September. The revenue pipeline remains steady and our gatekeeping efforts to improve revenue quality on new business is benefiting our overall mix and target lane volume, which is a nice complement to our national linehaul network, and should continue to create efficiency opportunities for us going forward. As previously mentioned, our dimensioner additions are certainly contributing to our profitability. As of today, we've installed 37 of 42 plan dimensioners at YRC Freight and are on track to have all 42 installed by the end of the year. And while we improved in our strategic pillars of safety, service and efficiency during the third quarter, there is still upside in the following areas: pricing, distribution center operations, technology and network planning and efficiency. In terms of timing on these, as you would expect, follows a short, mid and longer-term timeline. We anticipate being able to see more immediate benefits from a couple of these items, like pricing and distribution center operation, while others like technology and network planning will gain traction in segments over several quarters. In closing, I would say the 2 tough numbers to move quickly in the right direction in LTL are yield and the on-boarding of drivers. YRC Freight accomplished both in Q3 and that trend continues today. I can tell you firsthand that the YRC Freight team is focused on the customer and we have the network capacity and talent to guarantee our confidence to deliver brand promise to the marketplace. With these comments, we're ready to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Tom Albrecht with BB&T.
Thomas S. Albrecht - BB&T Capital Markets, Research Division: A variety of questions. So refresh my memory on rail service. I was just trying to think anything that might go wrong that we haven't given thought to. What percentage are you allowed to put on the rails? Or what are you actually doing? What's been your experiences given their problems?
Darren D. Hawkins: Tom, this Darren. Our percentage is 26% combined between over-the-road purchase transportation and rail, 6% of that can be over-the-road purchase transportation. Now we do bump up against the top of that on the rail side from about a 21% actual number, and that we're having right now to utilize certain days of the week and reduce our exposure to rail in certain lanes due to the service that we've been getting.
Thomas S. Albrecht - BB&T Capital Markets, Research Division: Okay. And then, I want to make sure I'm thinking about the fourth quarter correct. There's 4 less working days as Jamie mentioned. So would that mean that you would expect the EBITDA to be similar in the fourth quarter? Or I mean, I was thinking it could be a little bit more, but not knowing how to weight these days, I'm sort of thinking that the turnaround might trump seasonality? So if I could get some thoughts on how we should look at EBITDA from Q3 into Q4?
James G. Pierson: Hey, Tom. It's Jamie. Yes, just to be clear, that 4 days is only at the Regional segment, not at Freight. So -- and it's a little bit -- this can be a little bit easier for you guys to run your models because, obviously, the Regional segment has been more stable than it has in Freight. So I would just look at the third quarter of '13 and do your extrapolation that way based on the number of days.
Thomas S. Albrecht - BB&T Capital Markets, Research Division: Okay. But what about EBITDA? Just so you guys can set expectations accordingly while you're working hard to make this turnaround happen?
James G. Pierson: Yes. We still don't give guidance on EBITDA just yet, Tom.
Thomas S. Albrecht - BB&T Capital Markets, Research Division: Okay. And then maybe, James, for you at Freight. So September's tonnage per day was basically about flat. You mentioned favorable trends in October. What was that? And why is the long-haul tonnage flattening out? Is it because of your pricing initiatives? Or is it because now we're back to the same challenge where the long-haul market, generally, has not been growing for a long time?
James L. Welch: Tom, this is James. Good question. Our priority over the last really 4, 5 months has been finally getting our freight mix and pricing in the position where we like it, coming off of MOU and refinancing and severe winter weather and just trying to get the company back moving again after the stress it went through during the fourth and first quarter of last year. It took us a lot to get the momentum the way we wanted it, and we've really seen pricing pick up these last several months much better than it did the first 5 or 6 months of the year. And so that's really our priority. We think we have a good chance with the way that the freight environment is right now to finally fix that freight mix first, and then we'll set our sights on growing. But clearly, our number one priority is improving our yield and putting ourselves in a position that we can take advantage of the freight market.
Thomas S. Albrecht - BB&T Capital Markets, Research Division: So with October yields, what you've seen so far have accelerated versus September, the rate of increase, just like what you saw in the press release?
James L. Welch: Well, I can't give you specifics, but I'll just tell you that, that trend has improved from July, August and September and in October. But I can't give you the specific number.
Operator: Your next question comes from the line of Rob Salmon with Deutsche Bank.
Robert H. Salmon - Deutsche Bank AG, Research Division: As you guys highlighted kind of the sequential improvement in yields at both of the segments, how much of that do you guys attributed to the installation of the dimensioners versus kind of getting the service back to where you guys have wanted it, at Freight in particular? But any additional comments you have on Regional would be helpful too.
James L. Welch: Yes, we don't think it's highly attributed to the dimensioners just yet. Obviously, we've been rolling out those machines for the last several months. And as Darren said, we still have a little ways to go. We like the early returns that we're getting and outlooks for the future, but I guess, it's a little too early to say that it was up a significant piece of the improvement.
Robert H. Salmon - Deutsche Bank AG, Research Division: Okay. And then, we've had a lot of competitors who have announced general rate increases. I haven't seen one out from either Freight or Regional. How are you guys thinking about the GRI? And any sort of commentary you can have on magnitude and timing, that would also be helpful.
James L. Welch: You'll see, YRC Freight go with [ph] a 5.9% increase December 1 and the Regionals are just fine-tuning their GRI, and we'll know that shortly.
Robert H. Salmon - Deutsche Bank AG, Research Division: Okay, that's helpful. And perhaps, Jamie, you could give us a little bit of color in terms of the BIPD and the cargo claim in both Freight and Regional? It sounded like the claims' a little bit of a headwind. Any sort of additional color you could have would be helpful.
James G. Pierson: Yes, sure. So in terms of BIPD, I don't group BIPD and cargo claims together. It's more of a workers' comp than BIPD. And what I would say on a quarter-on-quarter basis, they basically offset each other. So it's pretty muted for the quarter, and I think that's pretty much what I had expected last quarter when we were on this call. That's not the same for cargo claims. Cargo claims is still turning up a little bit more than what we would like. But in terms of the magnitude, probably a little bit higher in Freight than at the Regional companies, but nothing significant.
Robert H. Salmon - Deutsche Bank AG, Research Division: And is that one of the areas where you see as being a big opportunity in terms of coming down over time as you get your workforce kind of ramped up with regard to the cargo claims?
James L. Welch: We think so. Rob, this is James. And if Darren wants to jump in there, he can, but I think it's all part of moving the company forward after we cleared the MOU in the first quarter, and the surge in volume in the second quarter, and the number of new hires and casuals that we've hired in all the companies. But we certainly think that we're positioned well to drive that number down. Darren, is there anything you want to talk about there?
Darren D. Hawkins: Yes. And the only thing I would add as an addition to James' opening comments around that training cycle, as we see it mature, then the claims come down.
James L. Welch: Yes.
Robert H. Salmon - Deutsche Bank AG, Research Division: Is there any sort of quantification you guys could provide in terms of the magnitude that, that cargo claims could turn into a tailwind in '15 if you guys continued the performance you guys are showing in Q3?
James G. Pierson: I really -- I don't think it's that material. If you think about what we spent in terms of the expenses this quarter being about, what, $1.3 billion, it's not going to be a significant piece of that.
Operator: Your next question comes from the line of Scott Group with Wolfe Research.
Scott H. Group - Wolfe Research, LLC: So James, I know you're not giving a number, but I just want to make sure I understand what you're saying about yields in October. You're saying that they're up more than 3.9%, but you're not giving a number?
James L. Welch: You're good, Scott. Yes, that's what I'm saying.
Scott H. Group - Wolfe Research, LLC: Okay. I just wasn't sure I understood correctly. Okay. And then, did you say -- did you give any color on October tonnage?
James L. Welch: No. We don't give any guidance in that area just yet.
Scott H. Group - Wolfe Research, LLC: Okay. You mentioned the monthly operating ratios got better as the quarter progressed. I don't know if you can maybe give us a sense on where September finished? And do you feel comfortable saying, do you think Freight will be profitable or not in the fourth quarter?
James L. Welch: Obviously, what I meant by that was that the operating ratio did improve from July and August into September because September was the best month of the quarter by far. We like what's happening at Freight. The key to their success in the future is going to continue to get their freight mix the way we want it, and we think we've made a lot of progress there. We've got some initiatives underway on the planning side to make our linehaul network more efficient. We're looking at some other things to really operate better in these DCs. So I like what YRC Freight is doing. They had operating income for the third quarter that we liked. But certainly, it was better in September and we think that that's going to bode well for us going into the fourth quarter. But obviously, I won't predict whether -- or what the number would be for the fourth quarter, but we like the direction we're headed.
Scott H. Group - Wolfe Research, LLC: Okay, that makes sense. Jamie, can you -- you talked about good bang for the buck on the technology and some spending. What's a good CapEx run rate going forward? I don't know if you guys are giving that yet.
James G. Pierson: No, we're not. What I would do, Scott -- we spent about $75 million last year in CapEx, and that's true GAAP CapEx. We took on the equivalent value of another $75 million in equipment, so that's about $150 million if you include those 2 together. We've been pretty consistent about saying that we've got to start addressing the delinquent spend. I think we're going to do that this quarter, which is probably one of the highest quarters if I went back in the last probably 2 or 3 years in terms of our CapEx. I think we spent around $22 million, $23 million. So I would just take that what we did last year, know that, that trend is going to continue on and you can kind of look at this quarter as a barometer.
Scott H. Group - Wolfe Research, LLC: Okay, that's helpful. And just one last quick thing. What percent of the business is impacted by the GRI?
Darren D. Hawkins: Hey, Scott. This is Darren. It is 20% to 25%.
James L. Welch: At Freight. And it's about -- they had a little bit more at the Regionals.
Operator: Your final question comes from the line of David Ross with Stifel.
David G. Ross - Stifel, Nicolaus & Company, Incorporated, Research Division: A question, first, on the Regionals. And Jamie, you may have answered a part of this in your opening comments. I just want to know why the OR wasn't better. I guess, with the tonnage gains and yield gains, we're expecting a little bit more. You mentioned short-term rental expense. But was that really the only issue? Or was there something else that we're missing?
James G. Pierson: No. Dave, if you look at just the Regional segment, I mean, good balance, I'd say in pricing and tonnage growth, slip [ph] increase, but not as much. So there's good operating leverage there. The biggest area is the vehicle rents. And I'd say that's really in 2 particular buckets because, I mean, that's got a very encompassing statement. One, that's where our leases go through. So in terms of our operating leases, that's what that will [ph] go through and I've been pretty consistent about that pressuring margins. But also because of the increase in shipments late -- or I guess, earlier in the year that we've actually held on to in that segment, we've had more short-term rentals than we would have otherwise, and so that hit us there as well. So I'd say vehicle rents was a headwind for us. And again, a little bit of cargo claims and a little bit of local cartage, but that's about it.
David G. Ross - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And then, the 600 new tractors that are going to be brought in, are those going to go to YRC Freight? To the Regionals? Spread throughout? How do you break those up?
James L. Welch: It's going to be a mixture, Dave. The Regionals are probably getting the biggest percentage on this round. But as we move forward, YRC Freight will catch up. I'd say YRC Freight is getting the most triggers however [ph], and the Regionals are probably getting the greater percentage of tractors.
David G. Ross - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And have the Regionals gotten the greatest percentage of tractors so far as well?
James G. Pierson: Yes, in terms of 2014, they have.
David G. Ross - Stifel, Nicolaus & Company, Incorporated, Research Division: Because you mentioned that the leases were an impact on Regional. I just wanted to know if there were an impact on national as much.
James G. Pierson: Not as much. In the national group or the YRC Freight, god bless me, YRC Freight hasn't historically leased as much. I'm saying that if the Regionals haven't leased as much, it will have a disproportionate impact on their margin.
David G. Ross - Stifel, Nicolaus & Company, Incorporated, Research Division: And then -- and to follow up on Tom's earlier question about length of haul mix at YRC Freight. Was there a move up or down in length of haul? Can you talk about what that might had been in the quarter, impacting yield?
James L. Welch: Dave, it was flat.
David G. Ross - Stifel, Nicolaus & Company, Incorporated, Research Division: Excellent. And then, Darren, on the driver recruiting side, you mentioned that, I guess, we're adding drivers, maybe some dockworkers. Was it just at the new DCs? Was there a need for more drivers because some were retiring? Because volumes weren't up that much, so I wouldn't think you would have had to add too many folks.
Darren D. Hawkins: Yes, absolutely. It was a mix between linehaul and pickup and delivery. And even though you're correct, our attrition is very low single digits, it still represents a nice amount of hiring to meet the demand coming out of the second quarter and also with that small attrition that we've had. So it represented over 1,300 drivers year-to-date that we've hired.
David G. Ross - Stifel, Nicolaus & Company, Incorporated, Research Division: That's probably more than anybody else could say.
Darren D. Hawkins: Yes, absolutely. That compares to about 1/2 that last year for the entire year.
David G. Ross - Stifel, Nicolaus & Company, Incorporated, Research Division: And then on the service levels. Can you comment on where they are at both YRC Freight and the Regional group and where you want them to be?
Darren D. Hawkins: Dave, from a YRC Freight perspective, we've been in cycle since July. We're reliable and consistent. Service levels aren't contributing -- aren't negatively contributing to our business, so that's a very positive impact. And I'm pleased with where our network is. And I feel like we're well positioned going into Q4.
James L. Welch: Yes, Dave, this is James. We don't typically talk about what our service percentages are, but it's not an issue.
David G. Ross - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And then last question, just on the sales force at YRC. Is that growing at all? Or is it the same guys going out there, hitting the accounts? And then the second part of that is, the new business or the tonnage gains you're getting and the yield gains, is that from replacing low margin business with higher margin business? Or is that from actually going into existing customers and getting their yields up?
James L. Welch: From a total perspective, Dave, it's the fact that our sales reps had done a really good job of selling our value proposition. And they are getting rate increases, are customer-specific. Negotiated rate increases are much better at the second half of the year than the first. Certainly, as we have worked on freight mix management, we've exited some business and have been fortunate enough to gain some business that, I think, works better for us. And the managing of that mix will continue at all 4 operating companies as we move forward. So it's a little bit of what you described in each category.
David G. Ross - Stifel, Nicolaus & Company, Incorporated, Research Division: But the sales force is generally flat?
James L. Welch: The number of sales force, the number of sales people, yes, is relatively flat amongst all 4 companies.
Operator: We have a follow-up question from the line of Tom Albrecht with BB&T.
Thomas S. Albrecht - BB&T Capital Markets, Research Division: Yes, so just kind of delving into Regional a little bit more. Even though it had a decent year-over-year improvement in the OR despite the short-term rentals and other things Jamie described, it does feel like for the last 2, 2.5 years, it's kind of stalled out. We really haven't had a breakthrough and seeing like a 93 or 93.5 OR. We've seen a number of quarters sub 95. What do you think is holding Regional back from really rejuvenating it's margin story?
James L. Welch: Tom, this is James. If you go back over the last couple of years, we've had several situations or instances of cost scenarios that have hurt us. Work comp has been a drag at times at all 3 of those companies, and the short-term rental's certainly a drag at one of them in particular. And they're both -- or they're all 3 kind of confined to that service area that they serve. It's not like we were expanding the service territories. And their priority has been freight mix management and improving yield. But a couple of categories have really hurt them, and that work comp, BIPD area and short-term rentals has really nipped them up more than you might think.
Thomas S. Albrecht - BB&T Capital Markets, Research Division: Okay. And then on the equipment that was described, what's the timing on that again? Did you say in the fourth quarter or over the next 2 quarters? I didn't hear that clearly.
James G. Pierson: Yes, next 6 months. The orders are already in, and we're just taking the delivery of them and as we kind of get in the queue.
Thomas S. Albrecht - BB&T Capital Markets, Research Division: So I mean, that feels like a good down payment. I mean, ultimately, how many pieces of equipment have you identified that you want to replace, let's say over a 3- or 4-year period?
James G. Pierson: Yes, given the size of our fleet, Tom, and we have 15,000 tractors and 45,000 trailers. I mean, I'm not going to say we've identified the tractor and/or the trailer. We know which one of those particular units are at least effective from a maintenance perspective, and that's exactly what we'll [ph] start eating it from the bottom up.
Thomas S. Albrecht - BB&T Capital Markets, Research Division: Okay. I think that's it. You still don't want to set the EBITDA? I mean, at the end of the day, I think it -- I guess, really what I'm asking is, would you internally -- do you believe you'll be able to improve the results, whether you're looking at EBITDA, earnings, whatever, sequentially? Or how should we on the street be thinking about that?
James L. Welch: It's hard to know exactly what's going to happen in November, December. But October is performing the way we want from a yield standpoint, and that's our number one priority above growing the business at this time, and we're going to keep the pressure on that side of it. I'll be curious to see what happens with some of .com business and some of the things that we handled last year to see if that comes through. So it's just too early to really tell exactly what that's going to be. We have our forecast and we'll keep working towards that. I apologize if we can't get any more specific than that.
Thomas S. Albrecht - BB&T Capital Markets, Research Division: Okay. And kind of like Scott's earlier question, within Regional, would the October yield improvement be greater than the 3.8% that was listed for them in September?
James L. Welch: As we said here today, that's the case.
James G. Pierson: One thing that I will say about this is we're 30 days into this quarter. We haven't even closed the month out yet. And we're going to take a little bit longer term view. We've tried to be responsive to some of the feedback that you guys have given us by giving a little bit more detail, and we'll continue to do that especially as the business stabilizes.
Operator: You do have a follow-up question from the line of Rob Salmon with Deutsche Bank.
Robert H. Salmon - Deutsche Bank AG, Research Division: Guys, could you give us an update in terms of the union contract extension savings that you guys have realized in the third quarter? What's left that you guys can realize as you look out? And perhaps maybe you could talk about some of the headwinds you've experienced because of higher truckload rate, as well as rail service issues, and how that's all kind of bundling out?
James G. Pierson: Hey, Rob, it's Jamie. We really never gave any particular guidance, especially in an intra-quarter basis, so I'd shy away from that. But I would say that some of this is, is hard dollar savings that we got from a contract in terms of the freeze of the wages or some things that are more difficult to get in terms of our absenteeism policy in some of the smaller markets. I think the biggest win for us is the ability to run over-the-road purchase transportation at 6%, given the rail service that everybody is experiencing, not just us. That's been a real win for us, that flexibility is pretty good for us today.
Robert H. Salmon - Deutsche Bank AG, Research Division: That's definitely helpful. And then, Jamie, 2 kind of quick follow-up modeling questions. How should we think about the tax rate for the fourth quarter and into next year? There's a little bit more of a tax tailwind than we were anticipating in the third quarter. And secondly, any sort of interest expense fees that flow through that line item in the third quarter, which will be coming out on a go-forward basis in Q4, given the amendments that you guys did?
James G. Pierson: I think it's only a couple million dollars.
Stephanie D. Fisher: [indiscernible] the amendment. It depends through the interest.
James G. Pierson: Yes, that's what he said, that line's [ph] an extent. Yes, let's follow-up with that, Rob. We've got the numbers. It's not going to be a big win, but I can certainly give you more specifics.
Operator: Your final question. You have a follow-up from Scott Group with Wolfe Research.
Scott H. Group - Wolfe Research, LLC: So I guess what Tom's question was trying to get, I think, consensus and meeting consensus expectations starts to matter more now. So one thing that might be helpful for us, at least, is thinking about the bridge between reported and adjusted EBITDA. So call it, there was like $14 million of other add backs on the adjusted EBITDA. Is that a good run rate going forward? Just not sure how to model that.
James G. Pierson: Hold on one second. So depreciation and amortization, debt's been pretty stable. Gains and losses, that's a de minimis amount. Litter critter [ph] expense, that's been pretty stable. Restructuring fee, professionals, hopefully we're out of that business here in the near future so you can do with that what you wanted to. Permitted dispositions and other, not a big one. Equity-based compensation, not a big one. Amortization and ratification, both of that has been pretty stable. So I'd say the 3 big buckets, they've been fairly consistent.
Operator: There are currently no further phone questions. I'd like to turn the call back to the presenters for any closing remarks.
Stephanie D. Fisher: That concludes the call for today. Thanks, everyone, for joining us. Please contact me with any follow-up questions you may have. Victoria, I'm turning the call back over to you.
Operator: Again, thank you for your participation. This concludes today's call. You may now disconnect.